Executives:  Denita C. Stann – Vice President-Investor and Public Relations William J. Doyle – President and Chief Executive Officer Wayne R. Brownlee – Executive Vice President and Chief Financial Officer G. David Delaney – Executive Vice President and Chief Operating Officer Stephen F. Dowdle – President-PCS Sales 
Analysts:  Jeffrey J. Zekauskas – JPMorgan Securities LLC Vincent Andrews – Morgan Stanley & Co. LLC Kevin McCarthy – Bank of America Merrill Lynch Christopher S. Parkinson – Credit Suisse Securities LLC Michael L. Piken – Cleveland Research Company Dean Groff – Scotia Capital Markets P.J. Juvekar – Citigroup Global Markets Inc. Don D. Carson – Susquehanna Financial Group Steve Hansen – Raymond James Adam Samuelson – Goldman Sachs & Co. Jacob Bout – CIBC World Markets David I. Begleiter – Deutsche Bank Securities, Inc. Joel D. Jackson – BMO Capital Markets Mark Connelly – CLSA Timothy J. Tiberio – Miller Tabak + Co., LLC Matthew Korn – Barclays Capital Adam Schatzker – RBC Capital Markets Mark R. Gulley – BGC Financial LP Fai Lee – Odlum Brown Charles Neivert – Dahlman Rose & Co. LLC  
Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the Potash Corp. Fourth Quarter and Year-End Earnings Conference Call. At this time, all call-in participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) Once again webcast participants are encouraged to submit a question to management online from your audio player pop-up window. You can simply type in your question and send it. These instructions will be repeated prior to the question-and-answer session. (Operator Instructions) I would like to remind everyone that this conference call is being recorded on Thursday, January 31, at 1 pm Eastern. I will now turn the conference over to Denita Stann, Vice President Investor and Public Relations. Please go ahead.
Denita C. Stann: Thank you, Brock. Good afternoon, thank you for joining us and welcome to our fourth quarter and year-end earnings call. In the room with us today, we have Bill Doyle, our President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; David Delaney, Executive Vice President and Chief Operating Officer; Joe Podwika, Senior Vice President and General Counsel; Mike Hogan, President of Potash; Brent Heimann, President of Phosphate and Nitrogen; and Stephen Dowdle, President of Sales. I’d like to welcome the media who are listening in and remind people that we are live on our website. I would also like to remind everyone that today’s call may include forward-looking statements. Such statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of these statements, and actual results could differ materially. For additional information, we direct you to our news release and our most recent Form 10-K. Today's news release also includes a reconciliation of certain non-IFRS financial measures to the most directly comparable IFRS measures. I'll now turn the call over to Bill Doyle for some comments, and then we'll go to questions.
William J. Doyle:  Thank you very much Denita, and good afternoon everyone and thank you for joining us as we discuss PotashCorp's performance in the fourth quarter of 2012 and our expectations as we look ahead in 2013. As we review the year that closed, it can best be characterized as one with highs and lows. People speculated early in the year about the potential for a massive global crop and an oversupply of grains and oil seeds, then drought hit the U.S., and poor growing conditions diminished crop yields in other regions. It was a shift that once again put a focus on the unpredictable nature of food production. This affected global fertilizer markets to varying degrees. For potash and phosphate, robust fertilizer consumption in market oriented agricultural regions like Latin America and North America was matched by weaker demand in countries more influenced by government policy than economics, this economy characterize our performance in the fourth quarter. The deferral of new potash contracts with China and India resulted in fewer tons being shift to those countries. This delay affected the psychology of buyers in other offshore markets with many waiting for greater visibility rather than reengaging and securing new supply in the absence of immediate needs. While the strength of the North American response partially offset, weaker offshore sales, our fourth quarter earnings of $0.48 per share and full-year earnings of $2.37 were below the comparative periods in 2011, and fell short of our own expectations. Our fourth quarter earnings also reflected the impact of $41 million provision for settlement on U.S. antitrust claims announced yesterday, while we view these claims as completely without merit, engaging in a lengthy court battle could be even more costly and an unnecessary distraction as we enter an important time of opportunity. As much as we felt that was important to defend our reputation against the untrue allegations asserted in these cases, we made this unpleasant decision with long-term interest of our customers and shareholders in mind. Despite the challenges of the fourth quarter and some ups and downs during the year, 2012 was important in terms of performance and preparation for the future. We generated $3.2 billion in cash flow from operating activities, the second highest total in our history and only slightly below at a record level of 2011. Our nitrogen business earned nearly $1 billion in gross margins, a new record for our company. Even with lower gross margin contributions from phosphate and potash, our full-year total of $3.4 billion was the third highest in our history. We continue to advance our potash expansion projects, which will play an important role in meeting the future needs as the world’s farmers and hold significant potential for our financial performance. Our multiyear expansion program is now winding down with more than 80% of the anticipated spending behind us. This allowed us to further utilize our strong cash flow to enhance cash returns for our shareholders. We raised our dividend twice in 2012, and again at our Board meeting this week. We offer the highest yield among our North American fertilizer peers. The product of increasing our dividend more than 700%, since the beginning of 2011. Strides were also made in other areas that are key to our long-term success. We reduced the total recordable injury rate at our sites below our 2012 target, and we are continuing to strive for even greater progress in this most important area. Customers, employees, and leaders in our operating communities gave us higher marks in our annual independent surveys. These surveys act as benchmarks engaging the support of people who play an important role in our long-term success. We take pride in the fact that we are a place where people want to work, and that our company is viewed as one that helps improve the quality of life where we operate. These achievements give us a greater ability to seize the opportunities we see ahead. While market conditions for phosphate and potash presented a challenge in 2012, we believe we are moving into an environment of growth. When crop prices surged in early July many expected to see an immediate response in fertilizer markets. While supported crop prices helped to underpin demand, it's important to remember that our business is more closely tied to planning seasons than to swings in commodity prices. Crops are planted 365 days a year, so when farmer sees the signs to increase production it doesn't immediately turn into an order in our system. In many key markets crops were already planted and fertilizer had already been applied when crop prices began to increase. Now as we entered 2013, there is a significant need to improve crop production. And farmers in many regions are heading into their planting seasons with a chance to capitalize on the tremendous economic opportunity. Even this headwind is remain in India or government policies have temporarily trumped underlying economic needs, we remain confident that the tides of change will come. While this market remains in limbo, we expect the relative strength of other markets to support global demand for all three nutrients. In potash, we anticipate a significant rebound in global demand in 2013. Destocking occurred in many key markets last year, which massed underlying consumption. As we have often said, you can’t empty the cover twice. And there is now a need for buyers to engage early to meet expected strength in farmer demand. As a result, we see global demand for 2013 between 55 million and 57 million tons, well above the approximate 51 million tons that we shipped in 2012. In North America, dry conditions persist in certain areas, but many of our customers say; farmers are talking about the economic potential of their land and the need to address declining fertility levels in their soils, rather than worrying solely about Mother Nature. We anticipate potash shipments to this market will be strong throughout the year, fueled by the need to rebuild depleted dealer inventories in preparation for increased fertilizer needs at the farm level. It is much the same in Latin America, where our people just came back from meetings with fertilizer buyers and growers. Even as farmers in that market are preparing to harvest crops planted late in 2012. We are seeing our customers accelerate buying activity in preparation for the next planning season. We expect Latin American demand will surpass that of 2012 and we will be ready to meet the needs of this region. In market many people are talking about right now is China. After delaying new sea borne shipments in the second half of 2012, buyers there have secured significant tonnage for the first half deliver, including the highest six-month volume commitment from Canpotex in recent history. This is a promising sign. For many, the question now becomes China's second half plan. And the answer ultimately lies in this consumption pattern. We know China needs to stretch beyond this spring season and if that country follows through on its stated goal of improving food security, we see potash needs rising in 2013 and beyond. The reemergence of China late 2012 was the catalyst for demand in Asian countries outside of China and India, and many buyers book significant tonnage after new contracts were announced. We believe strong consumption in this region was overshadowed by a de-stocking of inventories during the past year, and that significant nutrient requirements in support of crop economics will drive increased demand. In contrast to the slow start witnessed during the first quarter of 2012, we expect to see a more robust environment to begin the year with potash requirements in this region rising from last year’s level. India remains an enigma a country that would truly benefit from balanced fertility, but is not fully engaged. While this region remains an important long-term customer, especially given it significant growth potential, we're not expecting it to be a major driver of global potash demand in 2013. Although we anticipate new contracts that could be settled during the first quarter, the political challenges that effected demand during 2012 are unlikely to improve significantly this year. We believe shipments to India will increase from 2012’s depressed levels due to limited inventories in that country. But anticipate that it will continue to be a major be gap between its actual consumption and the scientifically recommended application levels it requires to improve their lagging crop yields. Based on this global demand environment, we estimate our 2013 potash sales will be between 8.5 million tons and 9.2 million ton. Even with our expectation of higher sales volumes, our expanded operational capability has created important search capacity in our system. This will improve our ability to meet the just in time needs of our customers as they ebb and flow through the year, but it also means we’ll likely need to pull back on the throttle in certain periods and take the necessary downtime to balance our production to market demand. In phosphate, we expect the strength of our industrial and feed business will help offset potential weakness in fertilizer markets. Our uncertainty in India has slowed global phosphate markets. The North American market for fertilizer products is expected to be relatively strong. In nitrogen, our ammonia restarted a (inaudible) schedule to come online in March. We believe relatively solid margins and the addition of these tons could help us achieve another record gross margin result, in nitrogen during 2013. Based on this outlook, we forecast first quarter net income per share to be in the range of $0.50 to $0.65 a share and earnings for the full year between $2.75 and $3.25, up sharply from 2012. As we look ahead, we see tremendous potential for earnings growth. Like others in our industry, we benefitted from a strong nitrogen market in 2012 and this nutrient along with phosphate will continue to play an important role in our success. But the big opportunity, the one that stood in the shadows of this past year continued to be potash. While we anticipate a robust agricultural environment will support demand for all three nutrients, we believe potash shows the greatest potential for growth. As the player with the greatest operational capability to meet new demand, we expect to participate significantly in this growth. We expect to begin to deliver on this potential in 2013 and we will continue to take the necessary steps to build our business for the benefit of all of our stakeholders. I’d like to thank you for your interest in Potash Corporation, I’m joined today by a very capable senior management team and we would be happy to answer your questions.
Operator: (Operator Instructions) Our first question today comes from Jeff Zekauskas of JPMorgan. Please go ahead.
Jeffrey J. Zekauskas – JPMorgan Securities LLC: Hi good afternoon. Can you disentangle the dynamics of the change in FOB offshore potash prices from about $398 a ton in the third quarter to about $339 in the fourth?
William J. Doyle: Well, you know what happened in the fourth quarter, we didn’t have much business. And we had a very aggressive move by some of our competitors, and for the little business that we did have the prices decline, Jeff and so that’s what’s behind it and I think that’s what sets up for the negotiation in China, which was related to that decline during the fourth quarter.
Operator: The next question comes from Vincent Andrews of Morgan Stanley. Please go ahead.
Vincent Andrews – Morgan Stanley & Co. LLC: Thanks. Bill, could we talk a little bit about the pending U.S. crop? How important is for the perception of that crop as we move through the year and get out of the spring season, which I think we all agree, should be quite robust. But I mean are we expecting to be in another sort of things that are going to end the season empty scenario and volume as we move through, and into the second half of the year, could be and move very slowly if these concerns, we are going to have large crop and comp prices are going to come down?
William J. Doyle: Hi Vincent, I will ask Stephen Dowdle to address that question.
Stephen F. Dowdle: The outlook for spring is quite robust. The crop prices are very encouraging, and fertilizer cost as a percentage of the crop prices or crop revenue are at historic lows. So the expectation is that we will plant again in large acres, and that there will be an incentive to maximize yields because of these scrap economics, and I think the expectation we saw last year that, we knew we were going to plant big crop last year and of course, the psychology when we did plant that crop was that we were going to have a wind bursting crop, and it didn't turn out, and I think now the psychology is that, well we're going to plant a big crop and hopefully we'll get the moisture that we need to support good production, and because certainly the markets need good supply coming out of North America for this crop, as far as the psychology of fertilizer is concerned, we do expect that if people will continue their risk aversion and they will not want to carry over a lot of fertilizers, but this is now becoming a norm and we are certainly – we expect that and we will be able to accommodate that.
William J. Doyle: Vincent, I would just add as Stephen said, it's just-in-time market now in U.S., but our system has been custom designed to deliver, and we are just finishing up the second build of thousand additional railcars, we'll have 2,000 new cars in our system over the last three years, and we have a new large distribution center in Hammond, Indiana which is ideal for unit train systems much similar to what we do in the Canpotex area in terms of hook and haul type of operations were very, very efficient quick movement and overall, we see the market being quite a bit stronger in the U.S. going from 7.9 to potentially as high as 9.5 million tons. So we think the U.S. can be a really strongest spot for us in 2013.
Operator: The next question comes from Kevin McCarthy of Bank of America Merrill Lynch. Please go ahead.
Kevin McCarthy – Bank of America Merrill Lynch: Yes, good afternoon. Bill, just a couple of questions on returning cash to shareholders, I guess following the Board action yesterday, your annual dividends $1.12, and if I look at the midpoint of your EPS range for 2013 about a 37% payout ratio. Is that about the right payout ratio, investors should think about going forward or do you anticipate changes to that over time, and what are your current thoughts on potential for share repurchases or other means to return to cash to holders?
William J. Doyle: Yeah. Kevin, we have not stated an exact payout ratio, what we have said is that we will return more cash to our shareholders than any other player in our industry over the next five to 10 years, and we certainly intend to keep up that promise, when it comes to share repurchases we weigh the use of our free cash flow between dividend increases, which we just obviously had and share repurchase and M&A activity, we really love for what’s the best return, long-term return that we can give our shareholder.
Operator: The next question comes from Christopher Parkinson of Credit Suisse. Please go ahead.
Christopher S. Parkinson – Credit Suisse Securities LLC: Thank you. Can you just talk a little bit about what your expectation is for perspective changes to the Indian subsidy relative to last year that's embedded in your guidance range? And then also just how you think this is going to evolve over the next few years? Thanks.
William J. Doyle: All right Chris we will let Stephen Dowdle will answer that.
Stephen F. Dowdle: First the Indian subsidy program is very, very complex as you know, but there are discussions going on right now in India as they prepare for their new fiscal year, which begins on April 1. And there have been discussions with regards to the subsidy particularly for Potash and the discussions are centered around a reduction in the Potash subsidy and a reduction in the MRP, the maximum retail price, in anticipation that when India does settle new contracts, that these new contracts will be at lower price levels than the previous Indian contract. So I think this is a positive sign that these discussions are going on, it’s positive as the recommendation will go forward to the Indian Parliament and it will be settle here sometime in the first quarter, and which is one reason why we do remain optimistic that there will be a new potash settlement at some point during the first quarter.
William J. Doyle: Yeah, Chris when you think about India, we spend a lot of time talking about over the last few years, but when you look at the situation facing that country India has 25% of all the undernourished people in the world. It has one third of all of the undernourished children in the world. Their own Prime Minister, Singh, has said it is a matter of national disgrace. So, when you look at the subsidy policy of the government, it really, literally is penny wise in pound foolish, when you think about all the children in need of nourishment in that country. So they really need to address their food production issue. This is a very serious issue. And I can tell you the encouraging thing from our point of view is the private sector, I guess they understand us and they are pushing the government for change and it’s just the matter of time. It is not whether India has figured out some way to grow crops without potassium, that is not the case and the food needs are dire and need to be addressed soon.
Operator:  The next question comes from Michael Picken of Cleveland Research. Please go ahead.
Michael L. Piken – Cleveland Research Company: Yeah, good afternoon. I just wanted to dive in a little bit more detail on South America and specifically Brazil, and your thoughts in terms of how the year is going to play out and your thoughts for the upcoming safrinha season and how Brazil is going to sort of manage their logistics because I know this past year, there were a lot of issue with poor backup. So if you could talk a little bit more about kind of the timing of shipments throughout the year in that market?
William J. Doyle: Hi, Michael, I will ask Stephen to comment on that as well.
Stephen F. Dowdle: As we just had Latin American fertilizer conference, which was hosted in Brazil here and the mood in Brazil is quite positive. Brazil is an agricultural economy that responds to economics, and with the soybean economics and the corn economics being very favorable, the Brazilians are very optimistic about this year. Last year, they imported just under 7.4 million tons, which is right near their record imports and the expectation in for 2013 is that – the expectation right now is that we will see a record year for fertilizer in general and potash in particular. The crop is progressing well. They’re expecting to harvest over 80 million tons of soybeans in Brazil for the first time. And the expectation is strong for safrinha corn and for fertilizer demand for that crop. We did see towards the end of 2012, we did see that Brazil grew down their inventories. And because of that and after the contract settlements that occurred in Asia, we have seen stronger demand in the first quarter here than we did a year ago. So we’re starting the year, I think with some momentum in Brazil, which we did not have last year and I think that supports the thesis that we will see a record year for potash imports.
William J. Doyle: Michael, you asked about logistics, I think that’s a really good question, because the question is when you don’t invest anything in your import systems, which Brazil hasn’t any appreciable affect, how do you get the 80 million tons if that ends up being the number of soybean, how do you get it shipped? And that’s a real question in the marketplace, and I think a lot of people have – there is uncertainty whether Brazil will be able to pull that off. The other thing that I would say, when you’re focusing on Latin America is, you got to look at Argentinian production. They’ve had some issues there as well – some weather issues that have caused a little uncertainty. If you remember last year, everybody was saying, we’re going to have this huge global bin-buster crop, Argentina and Brazil got off to a slow start and then the disease passed on to U.S. with the drought. And personally I think that the market underestimates the difficulty which the world has in meeting global grain supply – global food supply. It is not given, it is not as easy as people think it is. There are many challenges to growing crops around the world, and if you don’t fertilize, there’s even more challenges. And so, I expect to see continued volatility in prices, but the trend is higher, not lower. And we should not expect to see production exceeding consumption on a consistent basis, because of these challenges that we face around the world.
Operator: The next question comes from Ben Isaacson of Scotiabank. Please go ahead.
Dean Groff – Scotia Capital Markets: Thanks. This is Dean Groff stepping in for Ben. When we do the math on your 2010 MoU at China, we see about 400,000 tons to 700,000 tons remaining in the range really it depend on if they take up the additional tonnage or not. But based on that are we seeing the Chinese boarder crop market evolving? Do you think it’s possible they won’t commit to the remainder in the backhalf of 2031? And if they don’t does, Canpotex have any sort of recourse or and how should we expect that two weeks ’13 to evolve?
William J. Doyle: Hi, well thanks Dean. We do expect China to perform in the second half and I would tell you that part of the agreement for them to maintain their exclusivity is they have to perform in the second half. So they will earn their exclusivity in advance now. In the past, they earned it after. We gave it to a more front end and they didn’t earn it in many cases. Now they have to earn it, and they have to earn it in advance of the second half of the year, and it’s very clear when we had those discussions as to whether or not we would as Canpotex maintained that exclusivity, so I give Sandford a lot of credit, they realized that the value of the exclusivity with Canpotex, and they move quick when they needed to at the end of last year, I think it surprised some of you on the sale side that this contract was concluded, but they know they have to perform and that same performance standard is there for the second half of the year. So we expect a very good market in China in 2013.
Operator: The next question comes from P.J. Juvekar of Citi. Please go ahead.
P.J. Juvekar – Citigroup Global Markets Inc.: Natural gas cost in Trinidad are much higher than the Gulf Coast cost, and you had some supply issues there last year, so where do we stand in terms of contract renegotiations in Trinidad, and then just related to nitrogen, can you just review your expansion plans after Geismar comes online? Thank you.
William J. Doyle: I’ll ask David Delaney, he is the Head of the negotiating process here with the Trinidad to comment on that may be, Brent can say something about potential further expansion, so David go ahead.
G. David Delaney: Thank you P.J. We’ve been disappointed frankly in our supply of gas the last two and half years to understand BPs and going through the turnarounds and maintenance work on the platform. So we are being told of that should wind down here in 2013 and the gas plant interruption mainly impact us by up to 100,000 tons of ammonia in 2013. We've been negotiating with the NGC since middle of 2011, we’ve been explaining over and over again about the show gap situation in the U.S. and other contracts need to reflect what’s going on in North America. We have taken that debate up to the Prime Minister, so we continue that dialog. We have made some progress. We are not where we want to be yet and we are hoping to conclude those negotiations hopefully here in the first half of 2013.
William J. Doyle: And then Brent, do you have a comment about possible expansions?
Brent E. Heimann: Sure. P.J. regarding our U.S. expansions, we just expanded our Augusta plant last fall by 64,000 tons per year. We will be restarting Geismar as Mr. Doyle mentioned in March, if not a little sooner and that will bring on another 0.5 million tons per year and we will continue to evaluate all of our U.S. operations for further expansions. We think that the Brownfield expansion tons are much better play for us than Greenfield investments.
Operator: The next question comes from Don Carson of Susquehanna Financial. Please go ahead.
Don D. Carson – Susquehanna Financial Group: Hi Bill, I had a question on your outlook for pricing and I know about last year you thought that offshore prices might grew up to domestic levels. Obviously in the weak markets, we have seen both move down. Is it your sense that there is not much pricing power out there or is the key to the shipment recovery keeping prices relatively low, just wonder what kind of price assumptions are behind your guidance?
William J. Doyle: Well, Don as you know, you got to get some win back in your sales to get prices on the moving up and of course the win for us is volume, we focus so much on prices as you know from our history, but you got to have some volume coming back into the market. I am encouraged with what I see here in the first quarter versus the fourth quarter. If you just think about exports, exports are so important to us Canpotex had – obviously without any China, without any India and many other major markets holding back waiting for clarity on China. We had a very skinny quarter in the fourth quarter, and I looked at the forecast that we have for the first quarter, it's more than double we have for the fourth quarter in Canpotex. So that's a very encouraging sign and as we said in our remarks we have people re-engaging now. So the export side of the equation is looking much better, than on the domestic side, January has been pretty good here as we finish up today, and we are seeing some momentum built there, so I like what I see in terms of the fundamentals that you have to turn the pricing northward, and the volume coming back to the system is greatly encouraging. 
Operator: The next question comes from Steve Hansen of Raymond James. Please go ahead.
Steve Hansen – Raymond James:  Yes, good morning. Will your – arguably your multiyear capacity plan, growth plan here has arguably served you very well in the past, but in the context of some market concerns around oversupply out there, if you ever contemplated scaling back or perhaps deferring some of the residual capacity growth you still have left.
William J. Doyle: All right, Steve, well, I think that if you look at the concerns about oversupply, and then you start looking at where is it, I think they are greatly overestimated, the oversupply – I'm not talking about the next five years. You know a lot of people gave people credit for all sorts of things and new projects were coming at us left and right well, I think you’ve seen here recently some difficulties in Argentina, we know there are continued to be difficulties in the project in Russia. We know that there are huge costs coming at some of the people in Canada, we’ve got, as I said over 80% of our CapEx behind us and I like being in our position rather being in their position. And so you’re going to see further delays in any of these new Brownfield expansions and much more delay in any Greenfield expansion, I think the market is going to be surprised to learn that this tremendous overcapacity that everybody talks about won’t be there.
Operator: The next question comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson – Goldman Sachs & Co.: Yes, thanks, good afternoon. Bill, a question on your inventories, if I’m doing my math right, it looks like you exited the fourth quarter with your shade under 1.5 million tons of potash in inventory, your guidance implies at the high end reduction, 74% operating rate, just wanted to reflect on that where, how much flexibility do you actually have on your company-owned inventories from here, and beyond that, the ability just to really see kind of your positive pricing momentum in environment where the operating rate at the high end of only in the mid-70s?
William J. Doyle: Yeah. Adam, what I’d say to you is that we never like to have too much inventory. First of all, ties that working capital; secondly, your product quality, if you build up way too much inventory, you really have to watch the quality of the product that you ship. So we’re very careful with that and just we don’t like to have it, because we don’t like to tail the wag of a dogs. We’d like to be able to match supply to demand and make sure that we’re not producing too much that will put any pressure on ourselves. We went out to the year with about 1.4 million tons of inventory and if you look at what would be normal will be just little over 1 million, so maybe a little bit higher than we normally would be and that’s just because fourth quarter was the stinker. I mean we didn’t have much business. So, little bit of an anomaly as we finish up on inventories. But I will tell you, we got hell of a lot of flexibility in our system. I mean we’ve got the largest warehouse in the world at Rocanville, 500,000 metric tons. If you go there, you could put three football fields with a bunch of people inside the place, you can’t imagine how huge it is. That gives us a little flexibility. And then you look at, what we’ve got in our domestic system and all the other mine sites where we’ve got warehouses, plus what we’ve got in the port. But we’re never going to challenge our carrying capacity for inventory. We’ll always have a lot more flexibility in the system that will actually have the inventory.
Operator: The next question comes from Jacob Bout of CIBC. Please go ahead.
Jacob Bout – CIBC World Markets: Good afternoon. Bill, maybe you could comment a bit on the impact of the low water levels in Mississippi? When we take a look at your transportation costs, I think specifically on the phosphate side, they seemed a little bit higher. What are your thoughts as far as the spring season, how that plays out? Is there going to be any impact on pricing this quarter as you said?
William J. Doyle: I’m going to let Stephen answer that one Jacob.
Stephen F. Dowdle:
 : I think as far as actual distribution concerns, we'll see how the spring progresses and how the situation may change naturally. The imported product that’s moving up the river would be the most impacted and that could have some concerns at spring particularly for folks that wait and delay too long to position product. But as far as Potash Corp is concerned our exposure on the river, is very minimal and we don't see any impact to our business.
Operator: The next question comes from David Begleiter of Deutsche Bank. Please go ahead.
David I. Begleiter – Deutsche Bank Securities, Inc.: Thank you. Bill, just on the question on the capacity. Taking into account the delays you mentioned, what's your forecast for 2017 potash capacity versus where it is today?
William J. Doyle: For Potash Corporation or for...
David I. Begleiter – Deutsche Bank Securities, Inc.: Sorry Bill for the entire industry.
William J. Doyle: For the entire industry in 2017, actually I think we address that in there, I think we've got 77 million tons in 2017. So that’s what we’re looking at and the question is, do we get there, we give people a lot of credit for a lot of things, that’s a conservative view. When I say conservative, I mean we give probably more credits than what we actually see happen, but that’s where we are at 2017, and that’s up from 62 in 2012.
Operator: The next question comes from Joel Jackson of BMO Capital Markets. Please go ahead.
Joel D. Jackson – BMO Capital Markets: Thanks. Looking at your presentation, it seems like your CapEx estimates for 2013 and 2014, in 2015, it moved up about $100 million to $200 million per year since your last guidance. Could you maybe elaborate in that and maybe give us an idea of what the capital budgets are now for quarter, you’ve broken down New Brunswick now and how much you spent versus those budgets so far?
William J. Doyle:  I’m going to ask Wayne to address and maybe David can piggy back on some of the individual mines. Go ahead, Wayne.
Wayne R. Brownlee: Yeah. Well, first of all, most of the CapEx that we’re spending now and the expenses, those were up basically (inaudible) Rocanville, the quarry now are basically done. If you want exact numbers I think (inaudible), but that’s where those numbers are at. We did push the numbers up slightly in terms of the 2014, 2015 outlook on the CapEx. We do have some environmental issues that we’re going to have to deal with in terms of hidden bonds at our potash line; it really has more to do with rightsizing those numbers. So frankly, we gave ourselves a little bit of cushion in that chart that we have not made any decisions yet on the capital budgets for those years and what those actual numbers are going to be so.
William J. Doyle: David, do you have any addition.
G. David Delaney: Yeah. Regarding the expansions, we have about $800 million left at Rocanville and $500 million left at (inaudible) and around 40 to Allan. We’ll spend about $800 million in 2013, around $500 million in 2014, regarding sustaining; we spend about $200 million a year between NNP and $300 million per year in potash.
William J. Doyle: And the reason for that, it’s a little higher than what people have been used to historically, but if you think about the size of our potash enterprise, it is much bigger than it used to be. And so obviously when you’ve got more equipment and more conveyors and all the things that you have there, you are going to spend a little bit more. To give you a sort of a rule of thumb on maintenance cap, if you look at our total asset base, we’re running about 5% a year.
Operator: The next question comes from Mark Connelly of the CLSA. Please go ahead.
Mark Connelly – CLSA: Thanks. Bill, I don’t think you mentioned them by name, but you alluded to Malaysia and Indonesia, and given that biofuels in Asia aren’t quite booming the way grain is. Do you think there might be a more significant variability in demand from that region, than we’re used to seeing lately?
William J. Doyle: All right, thanks Mark. Stephen. That was my expert in oil palm and so he is best positioned to answer the question.
Stephen F. Dowdle: Sure, Mark as you know what drives Indonesia and Malaysia is oil palm, very potasium demanding crop. And it’s really not biofuels, I mean, that has helped add another dimension of demand for palm oil, but it’s really the vegetable oil uses that is driving that demand. And that is closely tied to the economic growth and particularly in Asia, and particularly in China, as China is the world’s largest importer of palm oil. So as we saw in the last couple of years a little slowdown in China and we saw that reflected in some demand decline for Chinese imports. We have seen the decline in CPO prices, however, I should say that they are still at very, very good levels, it’s very profitable for the plantations, and they really suffer if they cut back on potash. So the tie between CPO prices and potash demand at this level is really not terribly significant. So we do see demand in 2013 in Malaysia and Indonesia, has been higher than it was in 2012. We saw some demand deferral in the fourth quarter of 2012, and we are off to a good start in both of those countries, and we think that we’re going to have a very, very good year in 2013 in Indonesia and Malaysia.
Operator: The next question comes from Tim Tiberio of Miller Tabak. Please go ahead.
Timothy J. Tiberio – Miller Tabak + Co., LLC: Good afternoon. When we look at your global forecast of 55 million tons to 57 million tons, in relation to your regional forecast, should we assume that the regional forecast are mutually dependant on a successful Indian contracting result in Q1, or are you confident in those forecast even if a contract potentially is pushed into the second quarter?
William J. Doyle: Yeah, Tim, we are not factoring in India in that calculation. As I said, at India, when it happens, we’ll deal with it. We watch what India does, not so much what they set in the marketplace. And if you think about where we just came out of 2012, India was less than 5% of our total business in 2012. We loved India to be a little bit bigger, be quite frankly, but we just deal with reality there, and we do think they’ve got it crying, literally crying in some instances and that we think that'll address that, because it's just proven to do so.
Operator: The next question comes from Matthew Korn of Barclays. Please go ahead.
Matthew Korn – Barclays Capital:  Hey, good afternoon, everyone. Just a quick question, does this antitrust settlement affect the close off and you lose sense as far as any other people challenges to be operations of Canpotex as you see?
William J. Doyle: Well, Matthew, I would say, maybe you can tell from some of my remarks that – on this subject that I really had to hold my nose with this one, because it was just really hold up, no difference in someone putting a gun in your back and taking and watching your – and your purse and your wallet. So but we've made the decision as I said for – because we saw, it was in the best interest of the company even though we would love to take those people on. It has nothing to do with Canpotex, and this is the U.S. domestic antitrust issue and Canpotex is not involved at all. But I would say – it's in the rear view mirror now, so I won't say anymore.
Operator: The next question comes from Adam Schatzker of RBC Capital Markets. Please go ahead.
Adam Schatzker – RBC Capital Markets: Hi, good afternoon. Bill, wasn't that long ago that you were talking about China migrating towards a spot market and of course, they seems to come back with some fairly significant contracts signings. So I'm just wondering if you could give us an update on your views with respect to China in the future and moving towards the spot market, and perhaps price equalization with domestic and offshore?
William J. Doyle: These are based on performance in this performance and advance. And so I’d tell you that Sanford knows that. That is very clear, the difference between what you saw here at the beginning of 2013 and where we were. And if the performance isn’t in advance identified and they know they’ll lose exclusivity and we are prepared to go spot, so they also know that. And I’ve given credit for understanding that new approach that we’ve taken. and so, I don’t know exactly whether we’re going to be contract or spot there, but if they don’t perform, we’re going to be spot. And everyone’s clear on that. So that’s just where we are, it’s a new era in China.
Operator: The next question is from Mark Gulley of BGC Partners. Please go ahead. 
Mark R. Gulley – BGC Financial LP: Hey, good afternoon. Bill, you talked a little bit about India, in terms of their P&K requirements versus where current demand. Can you remind us like what their P&K demand should be if they were truly, doing balanced nutrition for their crops?
William J. Doyle: Well, they’re almost nine to one right now N:K. They should be three to one. So they got to the 6.4 million, 6.5 million tons of potash imports and they were getting that N:K ratio just a little under 5. and so they need to be up in the 10 million or 11 million ton range. And they’re not anywhere near that. And so when you see the potassium deficits in India, and this is what private sectors just – their sources said, because they know what’s happening and even the value of what they are producing, the wheat, and the rice, not having the nutrient value that it should have, because what you aware of those crops get the nutrients from – they get it from the soil and the potassium is seriously lacking in the soil, the crop be just not going to get it, it’s not going to be as nutritious, and that’s part of the problem. You've got people that are undernourished, and so they really – this is an urgency in India and private sector their own agronomist would tell you, it’s a matter of national emergency. So that's why I say that, they should move on the k front. Stephen, you want to comment on the phosphate side?
Stephen F. Dowdle: Ut they have a similar situation in phosphate as well, it’s not quite as dire as in potash. India does have their own domestic phosphate industry, which they want to support. But there is under application of phosphate as well and over time we would expect their consumption and phosphate to grow, assuming that they're going to address this in balance.
William J. Doyle:
,:
Operator: The next question comes from Fai Lee of Odlum Brown. Please go ahead.
Fai Lee – Odlum Brown: Hi, Bill. I think if I recall correctly the nutrient-based subject program as you mentioned was posted, I think the original intend was to may be drive the nutrient balance from 6 to 1 down to 3 to 1, but we move completely in a different direction and I think everybody will agree that, an intelligent analysis would indicate that’s been a complete failure on the front. So I’m just wondering, it seems like a gordian knot at sometime. But what you think it’s going to cut through, whether it’s going to be like food inflation, crop failure, it’s just simply a matter of passage of time, working its way through the Indian bureaucratic system in terms of resolving this situation?
William J. Doyle: Hi, Fai, it’s great to hear your voice again Fai. So I’m going to pass on your question to Stephen.
Stephen F. Dowdle: It’s a really good question that what’s going to untie the gordian knot, politics are sick and a lot of different parties with interests, sometimes conflicting. But I would say that on a positive note that we do see genuine alarm and concerns in certain sectors and particularly within the industry, and particularly within the private sector of the industry that they know that this is not sustainable what’s happening in India today. They see the damage that’s been done to the soil fertility, they see that. They need to correct this. They’re in a bit of pickle themselves, because they’re trying to fight through their own political system and there is no clear answer. But I’m encouraged the fact that this alarm is being raised on many different levels throughout the country. And I do believe, it’s just a matter of time before we see reversal of what’s been going on here for the past two years.
William J. Doyle: Fai, the private sector (inaudible) but don’t understand this, but their biggest receivable, outstanding receivables are from the government, on the subsidy. And so when we look back from their financial condition, I mean the government has got them a little bit under the gun as well, because there are six months minimum delays on payments, and those are the biggest receivables these companies ask. So they can screen publicly, but they do privately. And so we do expect the change coming.
Denita C. Stann: Brock, we’ll have time for just one more question.
Operator: Thank you. The last question is from Charles Neivert of Dahlman Rose. Please go ahead.
Charles Neivert – Dahlman Rose & Co. LLC: Thanks guys. just quickly, you got, where is the capacity of Potash Corp in terms of potash got to be at year-end. And then given that, you’ve given us guidance for the year’s total sales. Assuming it’s at the high-end, where does that put operating rate for the company at year-end, I mean how much room do you have upside from that point?
William J. Doyle: Okay. I’m going to have our guys, tech team that answer Charlie, I’m going to ask Mike Hogan, who is Head of our Potash operation to address the capacity that we’ll have in 2013. Mike?
Michael T. Hogan: Hi, Charles. The end of 2013, we’re going to have operational capability of 12.4 million tons, and that increases coming from our Allan and our Cory locations. 
William J. Doyle: Great, okay. Thanks, Mike and Stephen.
Stephen F. Dowdle: Yeah. As far as our sales are concerned, we’ve given the guidance and we feel that we are in a growth and a recovery year. and as we enter the year inn January and we’re here at the end of January. We’re confident that we are going to see the growth, we would put a range of 55 million to 57 million tons. We see our domestic market recovering as we’ve mentioned. So we’re comfortable with the guidance that we’ve given you and we think that we’re definitely seeing a recovery in Potash consumption in 2013.
Denita C. Stann: Okay. Thank you, everyone. We appreciate your time today, and if you have any further questions, please don’t hesitate to give us a call at the office. Thank you.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. You may now disconnect your lines.